Operator: Ladies and gentlemen, hello and welcome to the Wallbox Third Quarter Business Update Call. My name is Maxine and I'll be coordinating the call today. I will now hand over to your host Austin Wood, Director of Corporate Development to begin. Austin, please go ahead when you are ready.
Austin Wood: Thank you, operator. Good morning and good afternoon to all that are listening in. And thank you for joining Wallbox's third quarter business update call. Earlier today we filed with the SEC and posted to our website at investors.wallbox.com a letter to shareholders. On this call, we will discuss some of the key points in that document.  Before we begin, I'd like to remind everyone that certain matters discussed in today's conference call are forward-looking statements that are subject to risks and uncertainties relating to future events, and/or the future financial performance of the accompany. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in the company's most recent public filings with the U.S. Securities and Exchange Commission, including a registration statement on Form F-1 filed with the SEC on November 1, 2021, which can be found on our website at investors.wallbox.com and on the SEC's website at www.sec.gov. Speaking today, will be Enric Asuncion, Co-Founder and CEO of Wallbox; and Jordi Lainz, CFO of Wallbox. We will not be hosting a live questions and answers session today. But if you have any questions throughout the course of this call or following you can address them to investors@wallbox.com. Enric, I now turn the call over to you.
Enric Asuncion: Thank you, Austin, and hello, everyone. We encourage you to review the letter of two shareholders filed with the SEC and post on our Investor Relations site for more details. I want to start by summarizing our business and reiterating what makes Wallbox differentiated. As this is our first priority call since completing our business combination with Kensington Capital Acquisition Corp. to our listing on the New York Stock Exchange in October.  At Wallbox, our mission is to create a smart charging and energy management solutions to advance electric vehicle adoption and sustainable energy use. With a focus on contracting solutions in particular. We are a global company and operate a vertically integrated business models, designing, engineering and manufacturing our suite of products in-house. This translates into very fast development cycles, which we believe our wish to stay ahead of the competition and give us more control over our products.  Especially teams in times like these when there are severe global supply chain challenges. It has also translated to [indiscernible] margins. We see our success to-date are resulting from our focus on our design centric, user friendly hardware, and software products that can help save our customers time and money and foster accelerated adoption of sustainable energy sources. But key to our value proposition and truly unique to Wallbox, we believe it's our focus on energy management systems technology. About 80% of Wallbox chargers sold are currently utilizing energy management who should I teach through my Wallbox, our proprietary software, even the significant benefits that they can bring to our customers. For example, by customer management home energy consumption, our products adapt the charging power on a real time basis, ensuring that our users are always charging their cars at Max Power, is having to worry about sitting appears. By detecting when homes and solar panels generate accessory more energy our products [indiscernible] but will always go and use. To charge our customer cars, enabling them to charge the collecting vehicle in a highly cost effective and sustainable way. While also accelerating the consumption of renewable energy sources.  We have taken this as mark technology one step further with Quasar, our compact, affordable and easy to use by directional charging. Quasar allows customers to turn their car and discharge their car energy to power their home or sell the energy back to the [indiscernible] where regulations produced. These products have allow Wallbox to capitalize on extremely strong historical markets builders, and looking forward, we believe that the market dynamics for electric vehicles and charging remain very bright.  In Q3, Bloomberg New Energy Finance raise the forecast of EV sales to 5.6 million in 2021, up from our previous estimates of 4.7 million in Q2. EV sales in Europe and the U.S. increased 234% and 208% in Q2 2021 respectively. On Bloomberg New Energy Finance forecasts, we will see another record-breaking year, due to the regulatory tailwinds and unprecedented demand. We believe that our performance so far in 2021 demonstrates the strength of the market and the value proposition we have believed in from the day we founded the company six years ago.  So let me know briefly touch on some operational, financial and commercial highlights though the third quarter. Before turning it to our CFO, Jordi Lainz, who will provide the additional figures. We generated $65 million in revenue in 2021 for the 9 months ended September 30. And we believe we’ll remain exact our expected 2021 revenues of $79 million. Our revenues are in fact 16% ahead of our budget expectations. From January 1 through September 30 of this year, we sold 66,000 chargers in over 80 countries around the world. Some [indiscernible] markets that are driving our growth into Germany, the U.K. and France. Spreading this market can be attributed to our incremental efforts around local certifications and marketing. We see a key advantage for our company with local expertise. Ensuring that our products meet the evolving government issued regulations have a lower cost to capitalize on by [indiscernible] not only in these 3 markets, but also in other countries around the world.  Additionally, we have been making a concerted effort to expand our footprint and low market share through our marketing efforts in this company. In the U.S., a market we only enter in February of this year, we continue to gain momentum. We make great strides during the third quarter that we see position us well for strong growth and during the introduction of our 48Amp Pulsar Plus and announcement of our partnership with SunPower.  The SunPower relationship is a strategic alliance whereby the new customers cannot install our -- EV charger at the same time as their solar and/or storage system installation. SunPower, meanwhile, has to act as a preferred solar and storage provider and EV charger installation provider for Wallbox customers.  SunPower has already played its first orders and we believe this partnership will allow us to continue making [indiscernible] easier and less expensive, which has always been possible with vision.  Turning to our recent updates. In early September, we announced the site selection of our first U.S. EV charging systems manufacturing facility in Abilene, Texas. Given the demand from the U.S. market, we knew that in order to have an influential commercial presence in the country, we also needed to have an operational presence. This harmless 3000 square foot facility will be instrumental in accelerating the launch of new products to the market.  In addition to producing the current version of Pulsar Plus, which is already available for the North American market. The facilities will have price for a North American version of Quasar and Supernova. Production is expected to start in the second half of 2022 and is expected to have more than 0.5 million units of capacity by 2030. And we're excited to report that we are making quick progress on the new manufacturing facility [indiscernible] that we announced earlier this year. As a reminder, these are 100,000 square foot facility that is being built using state-of-the-art industry 4.0 technologies and greater to greater certification. The first assembly line stuff already been installed and we are on track to begin production in this facility before the end of the year.  As we look ahead, we see several notable bright spots. While Wallbox offers a robust product portfolio today, in the coming months, we will be introducing important new products to the market, which we believe will further diversify our products. We believe that the potential with our vibration of DC chargers is tremendous. And that is reflected in our results today. Historically, we have rolled out this product to strategic partnerships with North international companies and OEMs such as [indiscernible]. By every and next year, we expect Quasar to be offered commercially so that anyone in Europe utilization enabled car can the vehicle to come for vehicle to recharging, using our support or through our partnerships. Continuing the topic of our DC power electronics, we are happy to announce that we remain on track to begin the first shipments of our Supernova DC public fast chargers by the end of this year. We are thrilled [indiscernible] chasing the first half injuries, and that we can support them in their efforts to install over 150,000 charging stations throughout Spain in the next 5 years. Further, we continue to explore partnership announcements to enhance our brand recognition and expand our range. Last week, we announced a Bay Area Pilot Program with Uber, will derive Wallbox will offer ricer drivers a discounted package for our Wallbox charger. Signal installation and the option to finance the package all badly available to the Uber. We also form a partnership with vehicle-to-grid software company in dubai, leveraging their vehicle to reach software we can enable vehicle-to-grid charging probability through the [indiscernible].  We foresee partnerships such as these as bringing tremendous growth potential as users come to appreciate the value proposition of our products. And we look forward to entering into additional partnership arrangements across a variety of product types as we continue to grow our company. I will now turn it over to Jordi who will provide some additional information around the financials.
Jordi Lainz: Thank you, Enric. As a newly public company, we have provided aggregated financial information this quarter. Going forward, we plan to report quarterly results and provide business updates and we'll issue an annual report which fully financials.  With that said, let me recap solid financial and operational highlights and provide previous preparations where applicable. The reported revenue of $22 million in the third quarter, up nearly 250% year-over-year. As noted earlier, 2021 revenue through the third quarter was $55 million, up more than 280% versus the prior year period. Our revenues are underpinned by charger sales of 26,000 units in the third quarter, and 66,000 charger sales in the 9 months ended September 30, we can wait also alluded to.  Our gross margin for the 9 months ended September 30, 2021, was 39%. While we face of challenges from the global supply chain shortage in the third quarter, our in-house engineering, manufacturing and validation allowed us to continue producing without interruptions, while maintaining an industry leading gross margin. We continue to face logistical adversity involving supply chain issues, but our vertically integrated operations give us much more supply chain optionality on some of our competitors. And now, to talk about our recent transaction, we generated gross proceeds from the merger of $252 million. This is exclusive of build fees of $40 million.  The merger closed on October 1, after the end of the third quarter. On a pro forma basis, as is the merger closes on September 30, our cash balance would have been $231 million. We believe that our existing data sources will reach sufficient to meet our capital requirements and fund our operations through 2024 and 2025 where we are expecting to solve EBITDA and cash flow positive, respectively.  Finally, our total shares issued and outstanding at the time of merger closed was approximately 161 million. This excludes our [indiscernible] and the impact of any stock options or employee stock purchase power.  Thank you for your time, I will now turn back Enric to conclude the call. 
Enric Asuncion: Thank you, Jordi. Automatic rectification is at an inflection point today. And charging is essential to the adoption. With the proceeds from this business combination, we are confident that we can capitalize on these mega trends and stay ahead of the competition as technology and customer demands evolve.  We thank you for joining us today. I look forward to speaking ahead with you after we report our first full year earnings results as public company in early 2022. Have a good day.
End of Q&A: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.